Operator: Good day, ladies and gentlemen. Welcome to the Full Year 2021 Results Conference Call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtländer: Yes. Thank you, operator, and good afternoon, ladies and gentlemen, and welcome to ProSiebenSat.1 Analyst and Investor Conference Call on the occasion of the full year 2021 results published today. Our Group CEO, Rainer Beaujean, will start today's presentation with highlights of financial year 2021. Ralf Gierig CFO of ProSiebenSat.1 will then take you through financials of the group and segments for both the fourth quarter as well full year 2021. In the second part of the presentation, Rainer will provide an update on the group strategy and what makes us confident to achieve our new mid- to long-term organic group revenue growth ambition.  Rainer will also present the dividend proposal for fiscal 2021 and our outlook for 2022. As always, the presentation will be followed by a Q&A session. With these opening remarks, I now hand over to Rainer.
Rainer Beaujean: Thanks, Dirk. Good afternoon also from my side, and welcome to our analyst and investor call on our financial results 2021. We are all looking with shock on what is happening in the Ukraine. Our thoughts are with all those who suffer from this war. Of course, we also ask ourselves what we can do at a time like this. Our answer is clear. We have to use our reach. The current events show once again how important it is to provide viewers with comprehensive and above all independent reporting. We are making our contribution to this and report intensively on our stations and platforms. At the same time, of course, our concern is for our employees.  We have employees on the ground through 2 portfolio companies with whom we are in close contact. In times like this, it is challenging to announce record revenues and to come back to business as usual. But you are here today to talk about our results and our outlook, so let's start. In 2021, we have shown that ProSieben is on a successful path to becoming a globally operating digital group. Our strategic focus is on a diversified portfolio comprising 3 strong segments that complement each other, entertainment, dating and video and commerce and ventures.  Besides our full year 2021 results, we also want to present today our clear strategic path into our future as well as our growth ambitions. Let's have a look at today's agenda. We will begin with a short overview of what shaped our past, followed by an update on our group financials. Afterwards, we will highlight our strategic priorities and will end the presentation with an outlook regarding the full year 2022.  So let's start on Slide 3. 2021 was a record year for us, and we saw our strategy succeed. We fully achieved our financial targets, which we had raised 3 times throughout the year, and that even despite the continued challenging market environment due to COVID-19. We significantly increased our group revenues by 11% to €4.5 billion. We substantially grew our adjusted EBITDA up by 19% to €840 million.  Both results hit right our target ranges. The main driver was our Entertainment segment, which recorded a strong revenue and earnings performance. In this context, our advertising business recovered much faster from pandemic impacts than expected at the beginning of the year. We continue to focus on profitability and cash flow. That is why active portfolio management still plays an important role in our strategy. Next to divesting from companies, we are no longer the best owner for. We also strengthened the position of assets with significant synergies to our entertainment business. The best example is ParshipMeet Group, which forms our dating and video segment.  Thanks to our strong operating performance, we substantially decreased our net financial debt with our financial leverage narrowing to 2.2x. With this, we are back in our target range of 1.5x to 2.5x Furthermore, we diversified the maturity of our debt profile after refinancing in 2021. We also increased our adjusted net income considerably by 64% and to €362 million. Hence, we are happy to offer our shareholders a substantial higher dividend of €0.80 per share compared to $0.49 last year. We will later present to you our outlook and new financial targets for 2022. We also set our aspiration to grow revenues by an average of 4% to 5% originally we also set our aspiration to grow revenues by an average of 4% to 5% organically each year over the medium to long term. With this, let me now hand over to our Group CFO, Ralf Gierig, who will guide you through our group financials for the full year of 2021 and the fourth quarter.
Ralf Gierig: Thank you, Rainer, and good afternoon also from my side. I'll now continue with a review of the group's financial performance in financial year 2021 and start with our revenue performance. As Rainer already stated, 2021 was a record year for ProSiebensat.1. Thanks to a steadily improving operating performance throughout the year, we increased our financial outlook 3 times in 2021, most recently in November of last year. We have grown dynamically and profitably as a group, even in this challenging environment by focusing on executing our strategy, and by further streamlining our portfolio to make it even more focused and synergistic. Group revenues increased significantly by 11% to a record level or €4.494 billion despite the continuing impact of the COVID-19 pandemic.  The main growth driver was the Entertainment segment. At the same time, the synergistic diversification across all segments continued to pay off. Part of this strategy was also the acquisition of the Meet Group in September 2020 and which has since strengthened the dating and video segment and has had a very positive impact on group revenues, too. Let me briefly explain that the newly formed dating and video segment corresponds to the previous ParshipMeet Group segment and remained unchanged in its composition compared to year-end 2020.  On a portfolio and currency adjusted basis, group revenue growth reached a strong 10% plus in full year 2021. The Entertainment segment reported revenue growth of 12% to €3.098 billion in full year 2021. This increase was, in particular, driven by the positive momentum of the advertising business which recovered significantly and faster than initially expected from the negative effects related to the COVID-19 pandemic. Advertising revenues increased by 11% to €2.323 billion. This reflects the strong growth in the second and third quarter of 2021, and proves that once the economic environment began to improve, TV advertising bounced back quickly, again, highlighting the relevance of TV for advertisers in building reach and brands in a high-value secure environment.  In Q4 2021, revenues exceeded the already comparatively high prior year figure and came in also above pre-COVID-19 crisis levels of Q4 2019. Again, the distribution business delivered very solid revenue growth and posted an increase of 6%, primarily driven by HD subscriber growth and new agreements with major distribution partners. With a 25% increase in revenues, the content business also showed continued progress and certainly a clear recovery from the temporary dip the business partly saw in the financial year 2020.  Other revenues decreased by 9% year-on-year, mainly due to the deconsolidation of the hosting provider myLoc in September 2020. The dating and Video segment revenues grew substantially by 63% to €542 million, reflecting the acquisition of the Meet Group in September 2020. On a pro forma basis, i.e., taking into account the Meet Group's currency adjusted revenues for full year 2020 and full year 2021. Segment revenues increased by plus 7% in full year 2021. This shows that we were able to continue to expand the business even against the backdrop of strong comparable figures at the beginning of the COVID-19 pandemic and despite the regulatory changes we had to cope with in the German-speaking subscription business.  Dating with its eHarmony Parship Elite partner and LOVOO businesses contributed €278 million or 51% to segment revenues, with eHarmony recording strong organic revenue growth year-on-year. As a result, eHarmony, therefore, also became the largest matchmaking brand in our portfolio, which is a good foundation for future growth of subscription-based dating business. The video business continued to develop positively in 2021, contributing revenues of €263 million compared to €84 million in 2020. The previous year figure corresponds to the revenue contribution of the video business from the acquisition of the Meet Group in September 2020. On an organic basis, revenues in the Dating & Video segment remained on the already strong prior year's level. Please be reminded that 2020 was a record year, and the segment had benefited strongly from a stay-home effect due to the restrictions of public life as a result of the COVID-19 pandemic.  Full year 2021 revenues of the Commerce & Ventures segment decreased by 10%, mainly due to the deconsolidation of WindStar Medical in December 2020. As a reminder, the asset contributed €114 million of revenues or 12% to segment revenues in full year 2020. However, on an organic basis, revenues increased by 3% in full year 2021, mainly driven by the growth of the online beauty provider Flaconi and the car rental comparison portal, Billiger-Mietwagen.  Especially, in the important fourth quarter, organic revenue development was exposed to an overall increased macroeconomic uncertainty and restrictions related to the Omicron COVID-19 variant as well as a disruption of the German energy market. This led to a slowdown in the business of Verivox and Jochen Schweizer mydays in particular. Let me continue on Page 6 with a review of the adjusted EBITDA development. Group adjusted EBITDA improved by 19% in full year 2021 and mirrors the dynamic revenue growth and the recovery of the advertising business. Adjusted EBITDA of the entertainment segment was up by €137 million or 24% to €698 million in last year.  As mentioned before, this positive trend is mainly attributable to the advertising business, which has steadily recovered from the negative effects of the pandemic since the record quarter of 2021. Earnings were also positively impacted by revenue growth in the distribution and content business. Hence, we were able to further strengthen our program lineup and platforms by increasing programming cost by 3% to €1.054 billion in the full year.  This also puts us in a strong position to capitalize on our program investments in the current financial year. The dating segment, the dating and Video segment also recorded an increase in earnings. Adjusted EBITDA grew by €39 million to €119 million reflecting the first-time consolidation of the Meet Group in September 2020.  Commerce & Ventures adjusted EBITDA declined by 41% in full year 2021 and mainly reflecting the deconsolidation effect of WindStar Medical in December 2020. WindStar Medical had contributed €18 million to earnings in the prior year. Like revenues, Adjusted EBITDA was affected by temporary effects, especially in Q4 2021. Economic uncertainties due to the Omicron COVID-19 variant had a negative effect on consumer behavior. The increasingly tense situation on the energy market also weighed on earnings. The latter impacted the business of our otherwise very profitable price comparison portal, Verivox.  Please turn to Page 7. Although adjusted EBITDA showed a sharp increase in 2021, reported EBITDA and EBIT remained stable year-on-year. This was due to reconciling items of minus €36 million compared with plus €95 million in the prior year. The main component of the prior year figure was the income from changes in the scope of consolidation, i.e., the onetime disposal gains of WindStar Medical and myLoc.  Net income showed a significant increase of 68% versus the prior year. This was due to a significantly better financial result of plus €54 million compared to minus €183 million in 2020, reflecting better at equity and interest results and positive valuation effects from financial assets in the other financial result.  Adjusted net income increased strongly by 64%, reflecting the improved operating profitability. This has clearly been the strongest sign that ProSieben.Sat1 has been on a growth path in full year 2021 and that many of our initiatives to improve earnings have paid off.  As you all know, adjusted net income is the relevant financial KPI for our dividend policy. Rainer will present our dividend proposal later on and will reflect this earnings improvement. And lastly, ProSiebenSat.1 Group's adjusted operating free cash flow improved notably, reaching €599 million versus €424 million in full year 2020.  This development primarily reflects the group's earnings growth and underlines our effective cash flow management. Let me now continue with comments about the financial leverage and net debt improvement on Page 8.  As you can see on this slide, we were able to lower our net financial debt by €117 million to €1.852 million despite the dividend payout of €111 million in June 2021. The reduced net financial debt results from the group's strong cash generation and effective portfolio management in 2021. As a result, the group's leverage ratio also improved from 2.8x at year-end 2020 to 2.2x at year-end 2021, returning well and earlier than previously expected, into the financial leverage target range of 1.5x to 2.5x.  In 2021, the group took advantage of the favorable conditions in the debt markets and diversified as well as extended its debt maturity profile by issuing new €700 million promissory loans in October 2021. In addition, the company prepaid €900 million of its existing term loans under its senior facilities agreement in October last year, but inter alia applying the total gross proceeds from the new €700 million promissory loans.  The partial early repayment of the term loans and the full repayment of the senior notes in the amount of €600 million resulted in a significant reduction of gross debt by €747 million to round about €2.4 billion.  This all said, the group has a solid financial position in the long term. Let me now close my part of the presentation with some comments about our investment criteria on Page 9. As already pointed out in our Q3 conference call in November, we have defined clear criteria across all segments to ensure the financial soundness of all projects and guarantee that we continue to focus on the realization of synergies within the group.  For example, we ensure that expansion and new investments have a payback period of not more than 3 years and generate an internal rate of return of at least 18%. Strategic projects are generally expected to pay off within 5 years. In addition, Projects must be closely related to TV or our platform business to maximize our synergy potential.  Overall, these criteria contribute to our 15% P7S1 ROCE group target and our sustainable growth objective. As you can see on the slide, P7S1 ROCE has improved by 3.6 percentage points from 2020 to 2021 and was at 14.1% at year-end 2021. I'll now hand back to Rainer who will provide an update on our strategic objectives and an overview of our financial targets for the year 2022.
Rainer Beaujean: Thank you, Ralf. Let's now have a closer look at what we achieved on our operational level in 2021? How this paid into our strategy and how we plan to continue this path?  On to Slide 11. We believe that our synergistic company set up will continue to boost revenues and create shareholder value also in the future. Over the past 10 years, we have consistently diversified our business, particularly through the Dating & Video and Commerce & Ventures segment. With this successful strategy, we have grown by an average of 7% per year, more than doubling our revenues in this period.  Back in 2011, around 80% of our revenues came from TV advertising alone. Since then, we have broadened our revenue sources. Today, traditional TV advertising, which maintained an unchanged high level only accounts for around 40% of our group revenues, while our new business areas contribute about 60%.  What is important here? These diversification efforts came at no cost for our shareholders but instead created value for them. While we spent €2.1 billion in the last 10 years for M&A, and have already regained €800 million from disposals. We nonetheless distributed €3.2 billion in this period to our shareholders. And we kept net financial leverage and net financial debt about stable. This would not have been possible without tangible synergies, especially those related to advertising. We will address them later in this presentation. Starting from our already high revenue level of over €4 billion that we achieved today we set ourselves the ambition to increase our group revenues organically by an average of 4% to 5% per year in the medium to long term.  We want to continue this revenue growth by a clear number of initiatives, which we will explain in detail on the following slides and to which all 3 segments will contribute. Let's start on Slide 13. This chart describes the core of our ProSiebenSat.1 alignment. Almost all of our businesses have evolved following this approach. Our reach leads and is the basis for our monetization. This is the foundation of our growth ambition. All our 3 segments are linked with one shared vision. We empower brands and create moments that matter. This is the core of our group and what drives us every day.  We inform, entertain and bring people together around the clock. We offer them products, services and experiences that enrich their everyday lives. Driven by this vision, we want to strengthen our position as a leading digital-first video entertainment provider in the German-speaking region and uses strength to power synergistic consumer platforms. How do we want to achieve this? By maximizing our reach and by diversifying our monetization. Reach and monetization, are our greatest assets, and we can monetize them in different ways. Our focus here is clear. All our efforts result in increasing returns for our shareholders. This makes Presentations a valuable investment also in the medium to long term.  Let's start with our reach. We maximize our reach by providing local life and relevant content on our broad array of platforms. We have 3 levers that are playing into this. Let's start on Slide 15. First, we are the leading independent digital entertainment platform in the German-speaking region. Why? -- because we have a unique content offering that differentiates us from our competitors, which is relevant and matters to the millions of people we cater to across all platforms. Despite all the prophecies of Doom, TV is alive and kicking.  In 2021, we have clearly shown how well we continue to reach viewers, especially young target groups. The average daily TV viewing time in Germany is around 209 minutes, and we want to create the fireside moments that our viewers chose to spend this time with.  In 2021, we created a lot of talk of town formats such as The Masked Singer, Germany's next top model with the most successful season in 12 years. relevant formats such as our 7-hour documentary, Nichtselbstverständlich event on the situation of health care workers and our sports portfolio with the German Bundesliga or the NFL and the Super Bowl. Overall, this has achieved a significant reach of an average of 59 million monthly viewers with the linear TV and 11 million monthly unique users with our digital offers. This strategy enables us to outperform our peers on linear channels and to create significant traction digitally, as you can see on Slide 16. In 2021, we continue to be the 1 in the German audience market. We reached an audience share of 25.6% and hence, more than 2 percentage points ahead of our competitor Ad Alliance which markets the RTL channels. As you can see, we were able and we were ahead of them every single quarter and even expanded our market leadership significantly in the crucial fourth quarter. Furthermore, we put particular focus on join as our most relevant digital platform.  Our top formats such as the Taste are driving its reach as well as the exclusive coproductions that we initiate or decide to show first on join such as our successful fiction serious Blackout. Our own content already contributes for 90% of the top 10 AVOD formats on JOYN. This demonstrates the consistent windowing strategy between our linear channels and JOYN that we will further enhance this year. The second step in maximizing our reach is to lever our market-leading tailored content that is focused on local relevance and exclusivity. A similar strategy is also successfully pursued by our main shareholder, media set in Italy and Spain or by our French peer TF1 in France. So let's take a closer look at our content strategy on Slide 17.  We are increasing our local content share on our biggest challenge in prime time, which is the strongest advertising period starting at 8:00 p.m. We make local content, our investment priority. This not only differentiates us from our international streaming providers. It also enables us to make better use of and thus better monetize these forwards because of their unique character. We are currently establishing an in-house production hub for factual and show content, alongside our successful production companies like RedSeven Entertainment or Pyjama pictures.  Additionally, we will launch our own news department in 2023. All this with the goal to internalize production costs and margins and to become independent from the market and own our IP. The integrate program and reach planning in order to ensure that all available platforms that broadcast our content work well together. All this shows, we think in terms of life and on-demand, completely platform-agnostic in order to create the best possible reach for our content. And third, we utilize multiple channels to reach and target our audience anywhere and anytime across all platforms.  On Slide 18, you can see the ecosystem of our linear digital platforms, both owned and operated and third party that we lever to access the biggest chair of users. Third, we are aware our customers and viewers are and use our relevant content as a driver for reach. Next to our own platforms, third-party platforms play an important role in distributing our content. And they are highly profitable, they are highly profitable line of business and a stable source of revenue for us.  Let me dive deeper into the streaming platform JOYN in this context. JOYN is the cornerstone of our digital platform strategy. We highly believe in our advertising video-on-demand offering because it perfectly fits the tide gist. Most households in Germany can only afford a limited number of streaming subscriptions. German users are willing to pay for a maximum of 2.5 SVoD services and spend a maximum of €17 for this.  Against this backdrop, we see that large subscription providers are reaching the limits of their growth. They have greatly benefited from the pandemic but now it gets hard for them to attract new users that different with JOYN we are convinced of the success of our hybrid model because it allows us to meet the sweet spot as a broadcaster or advertising video-on-demand service. Meaning, we have a strong advertising finance layer where we stay close to our free TV channels, combined with a slim but highly attractive subscription offering to attract new customers.  I've talked about the great assets we have in our company, how we are increasing our platform independent reach driven by local life and relevant content? How we are growing the reach of our digital platforms such as JOYN and lever our distribution income?  Now on to Slide 20. I would like to turn to how we monetize these assets. On the one hand, our traditional sales business markets our TV reach to our advertising partners. Here, we can directly monetize our reach. In addition, we can also drive monetization in an indirect way. In our Commerce & Ventures segment, we invest in young companies and offers an advertising space. In return, we received shares in the revenue or the company itself is media for revenue and media for equity investments. This means that our Commerce & Ventures segment is 100% synergistic with our entertainment business. In selected cases with high synergy potential we also invest own capital to drive additional returns. ParshipMeet Group is an excellent example for this and thus a logical continuation of our business. First of all, let's have a look at our direct monetization business on Slide 21. Our successful advertising business is supported by strong market fundamentals.  If we look at the average daily viewing time of video content in Germany, you see that TV usage has been about stable over the past years, while there is still growth potential in online video usage. This growth potential is also reflected within the advertising market. While the market for TV advertising revenues remained and is to remain about stable the market for video advertising increased dynamically and will do so in the upcoming years. This shows with our digital focus, we are strengthening our total reach and our opportunities for monetization because we are addressing a growing advertising market.  In this market environment, we continued to hold the 1 position in 2021, as you can see on Slide 22. With the gross advertising revenue share of 37.6% and we were again clearly ahead of Ad Alliance.  Please note the German regulations prohibit public broadcasters from advertising competitively. For example, they are not allowed to air commercials after APM or on Sundays when their reach is very high. This also creates a stronger level playing field for private media offerings. As you all know, we had a difficult start into the year due to COVID-19 restrictions still in place. But in full year 2021, we have seen very strong growth in almost all of our German TV advertising industries.  The top 10 industry trees came back strongly, especially the telecommunications and the computer industry, while automotive still has great catch-up potential. So I'm also optimistic for 2022. But this is not all. This modern digital advertising products, we enable our advertising customers to address users in a targeted manner. We are charging TV with digital benefits such as addressability. This makes it even more attractive as an advertising medium and received an increased interest from customers for this. In 2021, we increased our addressable TV campaigns by 20%, and we realized more than 60 campaigns with our cross-device offer.  Another example is our total video product, CFlight Here, we are unifying the previously different booking logics and the different media quality of TV and digital. Our customers can now play advertising campaigns across our entire TV and digital offering, including JOYN and Studio71. The demand of our customers here clearly exceeded our sales expectations. This shows our position on the advertising market is strong and with smart approaches, we can even get further ahead of our competitors. Let's now turn to the indirect monetization side of our business on Slide 23. What does it mean? If you look at our total advertising inventory available, you see that we are not selling everything to traditional advertising customers over the full year. In several months and partly also quarters, we are sold out with 100%.  Over a full year, we have around 25% of idle inventory available for internal usage for our Commerce & Ventures investments as well as for Parship Meet Group or JOYN at market-based prices, of course. Otherwise, we would need to fill this inventory with content, expensive formats we would have to acquire or produce ourselves. Thus, we lower our external spending, while at the same time, building up strong consumer brands with our own media power. When we invest in media we create synergies with our entertainment business, and this benefits our group as a whole. First of all, we can use our idle inventory to market our investments. This offers us and the brand's highly attractive conditions due to the effective use of our reach.  Second, we can stimulate the ad market in general by pushing new client groups. In the past year, we, for example, for an increase of digital companies among our advertising clients. Third, we then can develop these investments into classic customers of our sales business at SevenOne Media.  Fourth, our investments create very attractive returns for us. And by using our idle inventory, this comes with very limited risk. And fifth and lastly, we can develop companies with high synergy potential into market leaders.  So how do we invest? We have different investment vehicles as Slide 25 shows. We foster digital-oriented consumer-focused assets that have a long-term structural growth potential. All of them must have synergies with our entertainment business. With our media for equity and media for revenue deals, we offer those growth companies advertising time, combined with the high reach and strong impact of the medium TV to increase brand awareness and ultimately, enterprise value. In Seven growth, we also bundled bigger minority and majority investments with high strategic value for us. By building up these assets with our entertainment power, we create value. We do this using 2 routes. We can sell our shares in the assets and thus realize a strong financial gain. A great example here is About You.  We initially invested in the retailer in 2016 and increased our shares in 2020. When About You went public in 2021, we also saw a good profit here. Another possibility is to incorporate an investment as a new pillar to our business if we see great future potential and further synergies with our group. The best example here, our Parship meat developed from a successful Commerce & Ventures business. We meet the initial investment in a media for revenue participation in Parship in 2012. In the following years, we acquired the majority and bought further online dating brands, most recently the meat group. Today, Parship Meet Group offers a broad spectrum of online dating platforms and formed dating and video segment of our group.  For our investment, companies have to fulfill clear criteria, which you can see on Slide 27. It concentrates on attractive consumer-focused business models with high marketing spend that benefit from reach and that address large consumer markets offering mass market products in the German-speaking region, thus having a strong ability to grow their businesses via advertising. The business is in the early growth stage of its development, and it has to be asset-light with high prospects of future growth based on their own cash flow. This makes our investment strategy highly focused. We finance growth with a little cash as possible by using media. We tap into new market segments and generate increasing returns. Once we have successfully built up such companies, we decide whether to selectively deploy additional cash to enhance value creation.  Let me provide you with some examples. Let's look at WindStar Medical that we sold in 2020. Initially, we invested €80 million in 2016 with a follow-up investment in 2018. By 2020, the internal rate of return was at 37%. This was also thanks to the increased brand awareness created with TV advertising. The same is true for Etraveli, which we divested in 2017 with an IRR of 49%. I Parship Meat Group builds our dating and video segment since 2020. Here, we see great synergy potential with our core business and a margin strong business model with a good cash flow contribution. But let's not forget, we continuously monitor our assets to decide if we are still the best owner and manage our portfolio accordingly.  Let me take you through the different steps shown on Slide 28. As just explained, we search for investment opportunities that we can link to our entertainment reach. We specialize the digital companies with a consumer focus, as we firmly believe that they can leverage and benefit from our media power. When invested, we use our media inventory to strengthen the companies and to achieve maximum scalability in the German-speaking countries. It always is our goal to invest as little cash as possible.  During that period, we are the right owner for the company. At some top point, we cannot drive growth via our reach in our core markets anymore. This is when we reassess our investment and decide on whether to hold on to our investment or to sell our stakes. Some key questions define our decision. Is the asset synergistic to our business? Is the asset accretive to our key performance measures such as profitability, cash flow or present in return on capital employed. Thus the platform business have the potential to scale internationally. And if one of these questions answered with no, we evaluate sale options. This has, for example, been the cases Amorelie, Mobile.dE Gravitas Ventures in 2021 or Windstar Medical in 2020.  Overall, it must be clear, we constantly reconsider our investment options. We always verify if we are still the best owner and we always consider attractive offers on our assets when it comes to disposals. We actively strengthen our cash flow by selling our stakes in commerce businesses that we developed successfully with our media power. Companies that align with all requirements will be held in our portfolio.  For example, this is the case of Parship Meat Group that forms our dating and video segment. But I want to make it clear that as with all portfolio companies, there are no secret cows. Parship Meet Group also will be regularly reviewed to make sure we remain the best owner. In this context, you all know, we have been evaluating a potential IPO for Parship Meet Group together with our partner General Atlantic, and we are well advanced in our preparations. The current market environment, especially with regard to the war in Ukraine does not allow us a value-creating transaction.  This does not mean, by the way, that we stop pursuing our plan, but that we have to wait for the right timing. As soon as the right moment arrives, we are prepared and ready to go. Let's now focus on our initial slide. I have shown you our 2 clear focus points to further exploit our potential as a digital group. The maximization of our reach and the diversification of our monetization, both severe one goal to become an even more diversified digital company and to accelerate our transformation process. because this enables us to create superior value for our shareholders, and therefore, also for us.  On Slide 30, you can see what this means in numbers. Since our management team assumed office in 2020, we generated €722 million of adjusted operating free cash flow via direct monetization and is also during the pandemic. This mainly comes from advertising, distribution and content. Here, our Entertainment segment is the main driver via indirect monetization, that's mainly the Commerce & Ventures as well as the Dating & Video segment.  We generated €368 million overall in the past 2 years. In total, and minus holding cash flow for nearly €33 million per year and that's around €67 million over the last 2 years. We thus generated an adjusted operating free cash flow of more than €1 billion with our business models within the last 2 years. This is outstanding throughout the industry, and it all underlines our diversification strategy creates substantial cash flow. And this results in significant value for our shareholders. Our dividend payout is €292 million in relation to the closing prices of the respective years before payout amounts to 5.7% and 3.6%.  More important than the past, however, is that I hopefully being able to show you that our business model will continue to create a lot of value and that we have a clear and value-creating strategy going forward. I hope I have been able to give you a clear overview on our strategic priorities. We are well positioned for 2022 and have a solid financial basis underpinned by a clear corporate strategy. How does this translate into our financial targets for 2022. Please move with me to Slide 32. First of all, I want to give you an overview of our revenues and our adjusted EBITDA, both adjusted by portfolio and currency effects. As you all know, we have made some changes in our portfolio last year.  These disposals such as the film distributor distribution business of Gravitas or the Commerce & Ventures investments Amorelie and Moebel.de must be taken into account. Adjusted for these portfolio and currency effects, our revenues totaled €4.413 billion in 2021. Our adjusted EBITDA was at €825 million. These adjusted numbers form the basis for our outlook for 2022. As the macroeconomic development in our core markets remain uncertain, we have decided to provide a midpoint with a plus/minus variance for both our revenue and adjusted EBITDA outlook. Without further portfolio changes, the group expects revenues in 2022 of around €4.6 billion with a variance of plus/minus €100 million. This translates into a group revenue growth range in financial year 2022 of at least 2% to around 6%.  The revenue target range depends particularly on the development of advertising revenues in the German-speaking region where we expect a stable development for the lower variance and a growth of 3% for the upper variants. Based on these revenue assumptions and excluding further portfolio changes, we expect group adjusted EBITDA for the full year of 2022 of around €840 million with a variance of plus/minus €25 million.  This is mainly supported by the Entertainment segment. The entertainment programming costs will be in total at the previous year's level and the main part will be attributed to local content. The amount that might be varied by around €50 million depending on the development of the advertising market.  Here, we take advantage of our leading positions in the audience market. Without further portfolio changes, we expect our adjusted net income for 2022 to be at or slightly above the previous year's levels of €362 million. The adjusted operating free cash flow is our relevant cash flow management indicator. Reaching a midpoint of the adjusted EBITDA target range, we assume that the adjusted operating free cash flow for the full year should develop or at or slightly above the previous year's figure of €599 million.  For ProSiebenSat.1 return on capital employed, we expect the development slightly above the level of the previous year of 14.1%. In general, we aim for a leverage ratio of between 1.5x and 2.5x. At the end of 2022, we expect the leverage ratio at or slightly below the previous year's levels at around 2.2x. And of course, we confirm our dividend policy to distribute approximately 50% of our adjusted net income to our shareholders. Please note that impacts on our business due to the further course of the COVID-19 pandemic or due to negative effects of the Russia-Ukraine war on our core markets are not reflected in this outlook.  However, we do not see any major impact on our customers' advertising bookings, which should not come as a surprise given our positioning with focus on Germany, Austria and Switzerland. In the past, short-term losses due to the macroeconomic development, we are quickly compensated for to a large extent in the following quarters because we are an early cycle company. Of course, it is also true that there hasn't been a war on this scale since our company has existed, but I still believe that we can look ahead with confidence.  Let me also give you a brief outlook on the start of 2022 at this point. As the Soccer World Cup will take place in November and December, we adapted our planning for 2022 accordingly. This means that you will see a phasing of programming costs through the first and second quarter, usually to a large extent, spend, especially in the fourth quarter. Although we currently expect our advertising revenue growth in the first quarter of 2022 to be above the level for the full year so slightly higher programming costs are likely to have a corresponding impact on profitability.  We also expect the pandemic-related impact on our Commerce & Ventures and Dating & Video businesses to affect the profitability in the first quarter to a certain extent. By Verivox business developed normal in the previous year period, it can be assumed that the energy market will remain very volatile in the current and probably also in the coming quarter due to the war in the Ukraine as well as sanctions.  Please note that in the previous year, we recorded the strongest quarter ever for Parship Meet group due to both the third stimulus checks issued in the U.S. and high usage of Dating & Video platforms during the pandemic.  The group's adjusted EBITDA is thus likely to be negative in the first quarter. However, this is fully reflected in our full year outlook. By the way, when I say likely to be negative in the first quarter, I mean, compared to the first quarter last year. We are also convinced that the easing of COVID-19 restrictions on public life announcement for the end of March and recovery of [indiscernible] experience market will have a positive impact on revenue and earnings in the further course of the year.  Please note that further development in March could still be significantly impacted by potential negative effects resulting from the Russia-Ukraine war. Let's finish with our dividend proposal. Our strong growth in adjusted net income translates into a substantial dividend increase for financial year 2021. Together with the Supervisory Board, we will propose a dividend payout of €0.80 to the Annual General Shareholder Meeting.  In the previous year, we paid a dividend of €0.49 we thus see an increase of 63% here. This corresponds to a total dividend payout of €181 million and a dividend yield of 5.7%. We are delighted that our shareholders participate in the success of our strategy in such an attractive way. So let me sum up. We strengthened our total reach because we already have the leading mass audience reach in the German-speaking regions, and we offer unique life and the content to our viewers. This on a broad area of linear and digital platforms.  We are monetizing this reach successfully because an intact media consumption drives solid growth in advertising. We realized incremental media value from indirect monetization models, and we select synergetic platform investments and constantly review if we are still the best owner. With this strategy, we generate attractive returns. Our ambition is to grow revenues organically by an average of 4% to 5% per year in the medium to long term. Our strong free cash flow focus enables us to pay out robust dividends and we have an incremental distribution upside from crystallizing investments over time. All this plays into our goal to continue to create value for our shareholders. Thank you very much for your attention. We are now looking forward to your questions.
Operator: [Operator Instructions]. And we will take our first question from Annick Maas with BNP Paribas.
Annick Maas: So my first two questions are with regards to Parship. So first of all, the IPO potentially being later, does that open up the possibility that it might be trade sale as opposed to an IPO and my second question, Parship is if you could comment on the churn rate at Parship at least since the subscription cancellation policy has changed in Germany. And then just unrelated to Parship, if you could give us an update. I mean, you've mentioned quite a bit that you can monetize some of these assets and that you have done that in the past. Can you maybe give us an update on what in your portfolio is the most likely to be monetized in the short term? And yes...
Rainer Beaujean: So let me start with the first question. We all see the current market environment with the Ukraine-Russian war. I think to expect our IPO not happening right now is, I think, a very good and thoughtful discussion, and we totally prepare the IPO, we are ready to go. And now we have to see how the overall market will develop during the next weeks and months. And then for sure, our idea is clearly to perform the IPO. when how -- that's something we have to define when we know how the overall market develops. And again, Russia, Ukraine is an issue, but also you have seen a lot of tech companies also struggling also based on that, what you can see in the overall market.  So churn rate, we are not commenting on that, but I can clearly say the change is not hurting us in churn rate because the products are good and we are very, very well and you're referring to the regulatory change. This is -- this has currently no influence on that what we do. The next -- what is happening to the portfolio Again, same answer as I did before on ParshipMeets, we have to see the overall environment. And then obviously, we can talk about that when the market is getting better. Again, our target is not to sell for every price. If we sell companies, we want to do that on the best possible way for value creation for our shareholders. And in this market and environment, this is a difficult situation. So we have to wait up to this point that the overall market gets better again.
Operator: And we take our next question from Fathima Naizer with Deutsche Bank.
Fathima Naizer: I just have three questions from my end. The first is on ParshipMeet. Could you perhaps guide us towards how you think of organic growth in '22 for the business range maybe that you can guide us towards that would be great. And how is the B2B sort of product within the group performing? And is that sort of outperforming the B2C sort of element of the business these days. Some color would be great. The second question is on a clarification on the Q1 EBITDA. You mentioned that it would be negative, meaning it could be lower than Q1 last year. But is there any sort of range that you can give us as to the magnitude of how the declines would be as you front-load some of your programming costs, that would be great.  And my last question is on the Football World Cup in Q4 this year. What sort of an impact are you incorporating into your own assumptions since it would not be screened by your channels?
Rainer Beaujean: So let me start with your ParshipMeet Group organic growth in 2022. I think we had very strong comparable figures beginning 2021 in the first and second quarter. And that's what you have to have in mind when you when you look on the performance and model it in. So I wouldn't expect us to grow. It could even be possible. And I also mentioned that before in my speech in the first quarter for ParshipMeet that we can see a slight decline due to the fact that there was a huge U.S. stimulus in -- at the beginning of the year 2021 in the U.S. market. So -- I answer the last one, which is football or soccer world championship. We are -- we were testing the market in Q4 a lot, especially when others have shown soccer matches.  And clearly, we think with the program which we tested, which is then, for instance, highlight program The Masked Singer or Eun-Kyung class or something like that, we have a good chance. But for sure, we will go out of the way of the German team. So we have to be a little bit more flexible when -- how we manage it. So our customers can't expect if Germany would play, for instance, on a Thursday, couldn't explain then Germany's next top model is happening when Germany plays because we don't want to create a big issue in the families where we then someone wants to see Germany's next top model and the other one wants to see the Soccer match. So that means more flexibility for people watching our program. But at the end of the day, what I mean with spending more in the former quarters for programming is exactly that reason that we have learned that we prepare for a good fourth quarter. But on the other side, we have to see and to figure out that we win also in the other quarters. And when I would look on our reach on January, February, you would see great performance.  And in March, now we have to see because our big disadvantage and reaches that we have no big news department. You know that we are building that up, and we are ready to -- we make ourselves ready beginning 2023, and our people are doing a great job with all the specials we are doing with Ukraine war and so on, but that's also something which we have seen in the pandemic that especially here, broadcasters and the public broadcasters are then taking reach, but I also have to say, this is then reach not monetization because the public broadcasters legally are not allowed to do advertising beyond 8 p.m.  So therefore, even if we would have a strange reach the monetization perhaps is not hurt as much. And that's the reason why we also said for the Entertainment business that we will grow in the first quarter and also with a good amount percentage-wise because obviously, last year, Q1 was pretty weak. Ralf, if you want to answer the other ones?
Ralf Gierig: So Nizla, I think what's still left open is your B2C question for the ParshipMeet business. Obviously, this is relating to the video segment of our Dating & Video business. And what I can say, and please bear with us, we can't make specific profit forecast or revenue growth forecast for individual verticals as we are in preparation for a potential IPO you should assume that what we call the VPAAS business, i.e., the business in video with third parties will be the -- probably the strongest growing, yes? And I think the other question which is still open is your Q1 EBITDA. As Rainer already mentioned, we expect this to be negative. Last year's Q1 EBITDA was €143 million. but it's yet too premature to give you a precise indication. We will have to wait where we end up in March. But what Rainer said is obviously true, yes, it will be a softer than previous year's first quarter.
Rainer Beaujean: Yes. And to add on that, we have several issues. It's also when you look on the gas development. Also Verivox in Commerce & Ventures will be heard again as it was heard in the fourth quarter. And when you've seen how strong the performance of Verivox was in the first 9 quarter months last year. You can see how relevant that is for this kind of segment. So at the end of the day, we don't know exactly. We have to flag it here, and we want to prepare you because that's what we can see. I think all this, what we have explained to you is clearly priced into our outlook. So when we talk about the €80 million on adjusted EBITDA, we know that we will have a little bit weaker quarter in Q1 compared to last year. So this is no surprise for us. This is clearly in our guidance but we want to flag it before someone is too optimistic because, for sure, our advertising business as strong as it was last year, also will grow, and we will have a good performance in the first quarter here.
Operator: And we take our next question from Omar Sheikh with Morgan Stanley.
Omar Sheikh: I have 3 questions, if I may. The first 1 is on the revenue guidance. So you'd be helpful with giving us some -- your forecast for the advertising business in Germany, say 0% to 3% for this year. Could you maybe just complete the picture by talking about the -- your expectations for the nonadvertising part of entertainment?  And also for the Commerce & Ventures business in '22, just what your outlook is in terms of organic growth, year-on-year for the whole year? That's the first question. And secondly, on the medium- to long-term revenue growth guidance, the 4% to 5%, could you just tell us what you think that will translate to in terms of adjusted EBITDA growth and growth in free cash flow over that same period? Second question. And then finally, on portfolio, it's helpful to have your thoughts laid out on Slide 28. Could you just update us on perhaps which of the assets in the portfolio you're currently sort of considering as to whether or not they should be part of the portfolio going forward. You talked in the past about Flaconi. You've obviously mentioned on this call some pressures near-term Verivox, for example. It would be helpful to maybe hear your thoughts on which parts of the portfolio might be sort of eligible for sale?
Rainer Beaujean: So when we talk about our revenue guidance, the 4% to 5%, I would assume that approximately half of that comes through entertainment and the other half comes from both other segments. So that means Commerce & Ventures as well as Dating & Video. So -- and that means in commerce and ventures and in entertainment, you have the situation, and I also tried to flag that in my presentation. that we're assuming in decline in linear TV during the years, and that's a market assumption, it's not ours of minus 2%.  We think we can be better because we are the market leader in that. But even if you take this assumption and then you have growth for the other areas in advertising, and that's the reason -- that's the basis for the growth, for the entertainment business. And for sure, you know that we have a very strong distribution business, which is growing from a mid- to high single digit and so on. So I think, obviously, this is possible.  On profitability, we are not giving EBITDA forecast currently. But what we have done is -- and that's the focus of what we are doing, and I hope I could describe that also in our presentation, our focus is on cash flow. Our focus is on value creation via all this kind of stuff. And therefore, for us, the even that ProSiebenSat,1 return on capital employed is very relevant. And here, we are assuming to be above 15%. So when you take this assumption and recalculate, you come to also an expectation in that in the profitability. But again, our focus is here and especially the free cash flow, especially the return on capital employed. That's how we manage our company.  So nearly everybody who leads divisions, people or whatever, has these targets and that's clearly our general idea. So Ralf?
Ralf Gierig: And Omar, if your question also was how does the 2022 guidance decomposed in entertainment. Within entertainment, obviously, we also expect distribution to grow. The content business will be affected by the disposal of Gravitas Ventures, which we sold last year. So there we could be slightly negative, but this is purely M&A driven as we are losing Gravitas Ventures revenues.
Rainer Beaujean: So at companies which are up for sale, the same ones like in the past, we always said and we also tried to give you an indication via our decision tree, how we look on things. And obviously, if a company is not paying into our ProSiebenSat.1, key performance indicators, then obviously, if this is not -- if they are not getting closer to that on a longer term, then they are obviously for us on our watch list.  And for sure, the overall market is difficult currently. But we already have told you when I came on board, and this is approximately 2 years when we ruled that out that all these businesses, which are not asset light and you could see that we are not only talking. We are also delivering on that because we sold WindStar Medical, we sold Amorelie, we sold Mirboo and then you can have a look which are -- which is also in and this is obviously also Flaconi and Flaconi.  We are currently a very good owner. You can see that on the growth rates, but there is a natural point where this business has to be further internationalized or that they source somewhere else and then automatically if someone would come with the right price, value creating for our overall story, then obviously, we can also be a seller for it. So -- and that hopefully gives you an indication how we think and gives you also a clearer picture how we manage our Commerce & Ventures portfolio.
Operator: And we take our next question from Lisa Yang with Goldman Sachs.
Lisa Yang: I have a couple of questions as well. Just wanted to come back to the guidance for the full year. I think you're guiding towards 2% to 6% group revenue growth. I think your advertising assumption is 0 to 3. So what's really driving that growth? And if you think about the bus optimistic scenario, 6%, what is growing that strongly above the advertising range that you gave to get to that number? Just very, very curious. The second question is on NuCom EBITDA went down a lot from 84% to 50%. How much was that was driven by Verivox, and where do you think we could end up in terms of EBITDA for the full year? And the third question is in terms of your any sort of conversations you might have had with them lately any sort of developments.  Obviously, they are the largest holder, but they don't have any board seats. And given the current market environment and maybe that you're less likely to IPO Dating or sell other assets, do you think there could be some value creation opportunities on the TV side, on the TV business?
Rainer Beaujean: I'll start with your Commerce & ventures question on EBITDA. Yes, you are right. It went down and in 2021, on a full year basis, there was a low double-digit percent decline -- but we would expect, yes, Verivox to perform subject to the energy market again this year. And as we all know, the energy market has started difficult also in 2021 -- 2022 and we will have to see how the Ukraine Russia war will pave out energy prices as to, yes, rising, unfortunately. The -- for the full year 2022, we believe that, yes, Commerce & Ventures should do better than in the last years. We expect a nice improvement in earnings performance, but yet to be premature to give you a precise figure. I mean, you have seen the outcome for the full year 2021, which was €50 million here, we would expect a, let's say, a significant double-digit improvement. But Yet again, yes. It's very early in the year, and we will have to see.
Ralf Gierig: Yes. And your last question is for me, not 100% clear. So I try to interpret this. So when you ask me about media for Europe and conversations and so on. You mean if we are in discussions with them, obviously, we are in the same market. And for sure, we meet each other several times in the different areas. And by the way, my Supervisory Board already had a governance road show during the last 4 weeks, and they were discussing also, the proposal, which the company has done for the general shareholder meeting. And obviously, that's something which will be decided by the general shareholder meeting what is happening there. On the other side, I clearly have to say we are always listening to everybody who is -- who has a clear idea how we can create value for our shareholders. I've said that several times in the past, and I can reiterate that this is clearly our positioning. So whenever there is a good idea to do something which is value-creating for our shareholders, why shouldn't we do it? But nobody reached out to us. And I also can answer then the next question because I also got them already in the press call this morning, what's about RTL because they are also talking about that ProSiebenSat.1 is a great asset, everybody wants to own as a similar situation.  So at the end of the day, what we can do and what we do is we try everything to create value for all our shareholders, but I clearly have to say it is an honor for us. If a company or a family like the Berlusconi family, is investing in us because that proves that our business model has value. By the way, they are also doing, as I already said, [indiscernible] similar things like we do, they also concentrate on local live and relevant in their local markets, in their home markets. And we understand that. They understand what we do. And that's something where -- yes, where we are happy about and where we are overall where we don't have an issue with. So at the end of the day, we honor every shareholder. We treat shareholders, hopefully in a proper way and everybody would tell you that this is the case. And then we're really looking forward for the next discussions. And yes, we will have our road shows. We have a general shareholder meeting in front of us, and I'm really looking forward to further discussions. If this is your question, if I got this right what you...
Lisa Yang: Yes, perfect. And what about the question on the full year outcome, how would you be getting to the 6% upper end if you add only growing 0% to 3%. What's driving that?
Rainer Beaujean: Yes. Obviously, we would expect that also the Commerce & Ventures business will be growing in terms of revenues and in terms of let's say, the -- maybe the underlying trends when we look at advertising, there is a wide array of estimates for 2022 in the market for ad growth they can be 1% or they can be 5%. So it will depend where we end up ultimately for the full year, but this has basically determined also our assessment.
Lisa Yang: And do you think in Q1, where are you sitting in Q1 in terms of that revenue growth range of 2% to 6% upper end or lower end?
Rainer Beaujean: Well, as you know, for advertising, Q1 last year was negative. 2021 over 2020 was down 14%, 15% in net terms. And so far, year-to-date February, we have seen a really nice recovery. But for the -- we need to await the trends in March. This is an unusual situation. We haven't had a war, and -- but I'm very optimistic that they can demonstrate a very good outcome for advertising.
Ralf Gierig: Let me say one word to the guidance. So I know that everybody looks on €4.6 billion plus/minus €100 million as a range, but this is not a range. So what we're doing here is we give you an orientation of €4.6 billion and €840 million in adjusted EBITDA. And then we have a variance where we don't know exactly how it will play out. So we are not at the lower end currently, and we are not at the high end currently. You can take several assumptions to get there. And -- but when you look on a statistical approach, you currently end in our assumption exactly in these numbers, €4.6 billion and €840 million, only to be also clear here
Operator: We take our next question from Julien Roch with Barclays.
Julien Roch: My first question for Ralf is can we get the '21 growth in smart advertising versus the €228 million in 2020 within DACH advertising?  Second, you said there was a nice recovery in advertising in January and February, but it was too early to talk about the quarter because of March. Nonetheless, could you tell us by how much January and February were up by? And the last question is Rainer, I believe you answered Omar '22 question with financial in the long term. So you said the 4%, 5% would be in the medium term in terms of revenue growth would be coming 50% from entertainment and 15% from other. But what does that mean? Because if we say it's 4% rather than 4% to 5%, so just 1 number, 50-50 means what? They're both growing at 4% or 1 is growing at 2%, the other is growing at 6% Okay.
Rainer Beaujean: Is really easy to answer. This is pretty easy to answer. It means that half of the 4% to 5% comes approximately from entertainment and the other half comes from the other segments. So when you have an absolute number of a certain amount, yes, then half of this growth comes from the entertainment segment and the other half comes from Commerce & Ventures and Dating & Video for the group. 4% to 5% is for the group, half approximately entertainment and the other half comes from the other segments. That's the general guideline of this aspiration, yes? And then we have to see if there is a year where it's 0.5 percentage point more here and 0.5 percentage point more there.So it all depends on the overall development but we want to tell you here is that we have a very strong believe out of that would be a scene you know that ProSiebenSat.1 is clearly a company, which also will create value, not by our cost-cutting also via and we also will be strict on costs. But on the other side, we also will grow the business also in the next years. So it's not only 2022. It's also for the following years that we are optimistic with the things which we have done here and with the things which we are preparing that we are also ready to grow in the next years.
Julien Roch: Okay. And maybe if we -- I understand what you're saying that we need to look at it in an absolute increase in millions of euros and that take 50-50. But if we think about it in growth rate growth rate. Could you give us a range for the 3 divisions in terms of growth?
Rainer Beaujean: This 4% to 5% is the growth rate every year, compounded average growth rate every year, which we have as an aspiration. I only want to say that all segments will grow. So -- and that's what I mean. And all 3 segments will grow. And for sure, automatically on this absolute number, then entertainment growth is lower than from the lower -- from the higher basis than for sure, Dating & Video and Commerce & Ventures have to grow to be on the same level. But this is totally in line when you model it in like you also would assume it.
Ralf Gierig: And Julien, with respect to your digital and smart question, I presume that you want to know the growth rate for the German-speaking business on the full year -- Yes, which on a full year basis was around about plus 16%, yes. And your other question related to Jan and February advertising. Yes, I can confirm that this was up nicely, yes, around about 20%. But we will have to see how March spans out. This is a new situation. So we remain cautious.
Rainer Beaujean: And March is the biggest month of the quarter, like always, because it's in front of Easter and so on. So January and February is nice, but at the end, the decision will be done in March.
Operator: And we take our next question from Richard Eary with UBS.
Richard Eary: Just three quick questions. Firstly, for Flaconi Got. I didn't see anything in the presentation about what was the actual underlying organic growth for Flaconi last year, if you can do that. The second thing is that I don't know whether you can expand on some previous comments and give maybe a little bit more color. Obviously, there was a disappointment around the Commerce & Ventures EBITDA this year. But as we look into next year, can you give us a feel in terms of where you expect that to land within your guidance of €840 plus or minus. That would be helpful. And then just lastly, if we look at the deferred equity that sits on the balance sheet within Commerce & Ventures and Dating, could you just let us know exactly where those sit at the moment, please?
Ralf Gierig: Richard, I start with the organic growth you believe -- you asked for Flaconi, if I'm wrong Yes. Flaconi posted double-digit percent growth, yes? We cannot be more precise. So overall, the development was really okay. And we look for continuous growth in this asset, yes. But please bear with us, we are not providing, let's say, granular guidance for this subsegment. And so 2022, we would envisage also growth for these assets as well as for the entire segment versus 2021. The preferred equity for Commerce & Ventures and Dating, where is it at the moment? I presume you're looking for the amounts for the NuCom, yes, it's around about €200 million and for ParshipMeet, it's around about €400 million.  Okay. And have I missed a question?
Richard Eary: Yes, it was about the common EBITDA. Obviously, I don't know whether you can give us any more color in terms of what your expectations are within the existing guidance for 2022. This year was obviously light at 50?
Ralf Gierig: Yes. Yes. Look, its EBITDA should grow double-digit percent. I mean already €5 million is 10%, yes, and we would hope for more, obviously. So this will according to our plan, contribute to the full year growth.
Rainer Beaujean: Yes. But as we all know, similar situation like we have this year, when we when we see the gas market that has to normalize somewhere than in the second half of this year. And also, we have to see how the [indiscernible] work on further because Jochen Schweizer mydays is also a cash contributor as well as with silver tours, which is traveling. This is also one of the issues where we have to look at again, all very good businesses, nothing to worry about, but we have to see how the development in the overall market will look like. Again, we have an assumption as Ralf said, and we are very optimistic to reach that. And I only can reiterate that when we look on our year-end guidance, our current assumption is that we should reach an adjusted EBITDA of €840 million, plus/minus €25 million, but the €840 million is the orientation line after €825 million in 2021 and that's where we are and that's exactly how we are managing the company.  And for sure, we also look, first of all, on our group guidance. And that's the numbers which we address and which we want to reach. And then there is uncertainty of the overall market and the further development of all these crisis which we have currently.
Operator: Thank you, and that will conclude today's Q&A session. I would now like to turn the call back over for any additional or closing remarks. Thank you.
Dirk Voigtländer: Yes. Thank you, operator. As has already been mentioned, that was the last question for today's call. As always, my colleagues in the IR department and myself will be available for any follow-up questions. in the next couple of hours. So thank you, everyone, and goodbye.
Operator: Thank you. And that will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.